: NCR Corporation (NYSE:NCR) Q1 2008 Earnings Call  May 7, 2008 8:00 am ET 
Executives: Gavin Bell – Vice President Investor Relations Bill Nuti – President, Chief Executive Officer Tony Massetti – Chief Financial Officer
Analysts: Katie Huberty – Morgan Stanley Matt Summerville – KeyBanc Capital Markets Gil Luria – Wedbush Rob [Timmy] – Robert W. Baird 
Gavin Bell: [Abrupt audio start] and our guidance for the full year, we will then open the call to your questions. Our discussion today includes forecasts and other information that are considered forward-looking statements. While these statements reflect our current outlook, they are subject to a number of risks and uncertainties that could cause actual results to vary material.  These risk factors are described in NCR’s periodic filings with the SEC and our annual report to stockholders. On today’s call, we will also be discussing certain non-GAAP financial information, such as free cash flow and results excluding the impact of pension and other non-operational items.  Reconciliations of non-GAAP financial results to our reported and forecasted GAAP results and other information concerning such measures are included in our earnings release and are also available on the investor page of NCR’s website.  A replay of this conference call will be available later today on NCR’s website, NCR.com. For those listening to the replay of this call, please keep in mind that the information discussed is as of May 17, 2008 and NCR assumes no obligation to update or revise the information included in this conference call, whether a result of new information or future results. I will now turn the call over to Bill.
Bill Nuti:  Thank you Gavin and good morning everyone and thanks for joining us. NCR started off 2008 with solid execution, delivering solid revenue growth, margin expansion and much improved cash flow. Our vision for the new NCR is to lead how the world connects, interacts and transacts with business and in Q1 we experienced increased and balanced demand for our products and services across our major geographies. We remained focused on our key management priorities of generating profitable revenue growth, building a sustainable leading cost structure and improving our working capital position. And while we have significant work ahead of us on each of these priorities, the progress we demonstrated in Q1 indicates that NCR continues on the right path. For the remainder of my comments, in our prepared statements I will be comparing NCR’s results from continuing operations versus the prior year. The results for prior periods do not include the impact of Teradata, making this an apples-to-apples comparison. NCR delivered a very good first quarter with year-over-year revenue growth of 19% and a 45% increase in non-GAAP income from operations. We achieved growth in each of our geographies, led by robust revenue increases in our Europe, Middle East and Africa and Americas regions. I am especially pleased that we continued to demonstrate revenue growth across our key industries and geographies, including strength in retail, banking and emerging markets. As you know we have transitioned to a global industry focused organization structure, led by general managers in our major geographies. This means that our three reportable segments now consist of the Americas; Europe, Middle East and Africa; and Asia Pacific, Japan. Our results by region in the first quarter were as follows. Revenues in the Americas grew 15% to $487 million and included two points of benefit from foreign currency. Revenue from EMEA was up 30% to $493 million with a nine point benefit from foreign currency. And revenue from Asia Pacific, Japan was $203 million, up 7% from Q1 2007 which included an 11 point benefit from foreign currency. From an industry perspective we demonstrated strong global growth in our traditional industries, banking and retail, both of which grew faster than 20% year-over-year. And while we had generally mixed results in our other targeted industries, we have only just begun our journey to grow these sectors.  That said, overall industry trends continue to be positive as the combination of productivity gains, cost reductions and increased consumer demand for self service is fueling our opportunity to become the global leader in self service. And despite the very challenging macroeconomic environment, we see opportunities to grow our business. In the banking sector we continue to grow faster than the market and see solid demand for our ATM kiosk solutions, both in the US and internationally. In the US we expect Check 21 rollouts in our new innovative NCR self serve family of ATM kiosks to drive growth this year. Outside the US, we continue to experience solid growth in the emerging markets. Some of the highlights from Q1 were several customers successfully certified our new NCR self serve family of ATMs. We saw strength from major US banks as they continue their rollout of Check 21 enabled ATMs. And in the national banks sector, we were pleased to announce that BECU, America’s fourth largest credit union, chose NCR as their provider of choice for our new self serve ATM kiosk platform. In Italy, BCC [Rovieto] has chosen NCR’s intelligent deposit ATM solution, which includes mobile phone top off and bill payment features and applications. We also saw success in the quarter in Brazil with a significant win at Unibanco. We also experienced continue strength in the retail industry, both general merchandise and food sectors. Our retail industry solutions which include both self checkout and point of sales solutions experienced good growth in the quarter. Retailers continued to invest in these solutions because they increase productivity, reduce cost and improve customer satisfaction. Some data points for Q1 are, this is the third quarter in a row where our retail revenue growth is faster than the overall market. With regard to self checkout, we had significant wins at Meijer in North America and [Aon] in Japan.  And, we were chosen by [Samesbury] in the United Kingdom and [Taki Shimaya] in Japan for point of sale solution rollouts. While most of our success in the quarter was delivered by our traditional industries of banking and retail, we continued to make progress in our emerging growth industries which we identify as travel and hospitality, healthcare, gaming and entertainment and government and public sector. In the quarter, our airline self check in solution was selected by Aero Mexico and Continental Airlines to be deployed at various locations throughout Latin America. And in the healthcare space, Reed Hospital in Indiana took delivery of NCR’s healthcare customer value management solution which allows patients to do a variety of transactions, either at home or on the internet or on the kiosk in the hospital or clinic. And while we made progress in the quarter around these emerging industries, as I alluded to earlier, we have a lot of work to do to exploit the long term opportunities these industries and the self service market afford NCR. Now I’ll turn the call over to Tony who will discuss our financial results in greater detail. Tony.
Tony Massetti:  Thanks Bill. NCR’s total revenue from continuing operations of $1.18 billion grew 19% versus Q1 2007. This includes a six point benefit from currency translation. We reported GAAP net income from continuing operations of $49 million or $0.28 per diluted share from continuing operations. This compares with a loss of $9 million or negative $0.05 per share from continuing operations in Q1 2007. NCR’s results from continuing operations did have special items in those quarters. The most significant were we sold our former Canadian manufacturing facility in Q1 2008 which resulted in a $16 million pretax gain or $0.07 per diluted share.  While in Q1 2007, we took a $0.21 per share charge related to our manufacturing realignment. Excluding these items, non-GAAP diluted EPS from continuing operations was $0.21 per share in Q1 2008 versus $0.16 per share achieved in Q1 2007. We had pension expense of $6 million from continuing operations in the quarter which compares to $9 million from continuing operations in the first quarter of 2007. To analyze NCR’s operational performance without the effect of special items and pension expense, please see the supplemental financial schedule included in our earnings press release that reconciles our GAAP to non-GAAP results. For the remainder of my comments during today’s call, I will exclude the impact of the special items and pension expense. Our Q1 gross margin was 22.1%, up 100 basis points from the 21.1% achieved in the first quarter 2007, primarily driven by the realization of benefits from our manufacturing realignment and continued emphasis on cost reduction initiatives. NCR’s expenses were up $35 million versus Q1 2007 primarily due to higher SG&A expenses driven by higher sales and slightly higher R&D due to the record number of new product introductions expected in 2008. While these expenses were necessary, we have current initiatives underway that will provide leverage in the future. Bill will discuss these initiatives later on in his prepared remarks. Total company non-GAAP income from operations of $55 million increased 45% from Q1 2007. Non-GAAP operating income margin was 4.6% of revenue in the quarter. Below the operating income line, other income of $1 million compared to $3 million of other income in the first quarter of last year. The operational tax rate in the first quarter was 28%. Turning to the balance sheet, we ended the quarter with $851 million of cash. Our short and long term debt was $309 million consistent with Q4.  During the quarter we repurchased about 8.7 million shares of our common stock for $193 million. This leaves approximately $316 million of Board authorization available for future share repurchases as of the beginning of the second quarter 2008. And just to give you an update or our share repurchase activity since the close of the first quarter, we have repurchased 2.8 million shares for $65 million from the start of April through yesterday. Moving to the cash flow statement, in the first quarter NCR generated $81 million of cash from operating activities versus $43 million in the prior year period. After using $32 million for capital expenditures, we generated $49 million of free cash flow which compares to $9 million of free cash flow in the first quarter of 2007. This $49 million of free cash flow in Q1 2008 compares to $39 million of free cash flow in all of 2007. NCR defines free cash flow as cash from operations less capital expenditures for property, plant and equipment and additions to capitalized software. As we mentioned on our Q4 earnings call, we are focused on better management of our accounts receivable and inventory. In the first quarter of 2008 we improved our collections on accounts receivable. This improvement drove over $50 million of benefit to NCR’s first quarter cash flows compared to Q1 of 2007. This is solid progress and I expect to report continued improvement on working capital performance over the next several quarters. We are pleased with our first quarter operating and financial performance. We continue to be somewhat cautious for the balance of the year due to the broader macroeconomic issues. Given our strong start to 2008, we are increasing our full year guidance as follows.  We now expect to report full year revenue growth of 5-7%, up from the previous guidance range of 3-5% growth. We are increasing our non-GAAP earnings guidance to a range of $1.52-$1.57 per diluted share, up from the previous guidance range of $1.48-$1.55 per diluted share. We continue to forecast pension expense of approximately $40 million in 2008 and our full year tax rate is expected to be around 25%. We also expect free cash flow to be over $200 million in 2008. Now I’d like to turn the call back over to Bill for some closing comments.
Bill Nuti:  Thank you Tony. Overall, we are pleased with our start to 2008. Revenue growth, margin improvement, earnings and cash flow were strong and we maximized the use of our capital structure to improve long term shareholder value. Our organizational transition is largely complete and our vision and strategy well accepted internally and externally. On that note I wanted to point out that in March the self service movement was also characterized by Time Magazine as the number two technology trend that is changing the world. Given the increasing significant of self service, the key to success for NCR going forward is to stay focused on executing and operationalizing our business strategy. The focus remains on delivering profitable market and wallet share gains in our traditional industries, breakthrough growth in new industries, remaining focused on building a sustainable leading cost structure and a more externally focused culture that is customer, market, competition and consumer driven. Relative to the consumer I wanted to share just a few interesting highlights from our third annual self service consumer survey which was just recently published. 86% of US and Canadian consumers said they are more likely to do business with companies that offer self service, whether via the internet, a mobile device or a kiosk or ATM. That’s a 10% increase over the response from the same question asked in last year’s survey. More impressively, 56% of respondents say their likelihood of using self service has increased just over the past 12 months. And no surprise here, consumers enjoy the speed, convenience, quality and ease of use that self service channels provide them over personal assistance. Lastly, I want you to know that our continued focus on building a sustainable leading cost structure remains a top priority at NCR. At our analyst day in December of 2007, we told you that building a sustainable competitive cost structure was one of our top management priorities. And if there is any difference, it is in tone, syntax and go forward intent. Our goal now that we have successfully executed manufacturing realignment and several other major cost structure projects is to build a leading cost structure, a cost structure that is characterized as the industry’s best practice, providing both a competitive advantage and financial flexibility. As part of that commitment, we are currently commencing a new set of initiatives to further increase our productivity, make us more efficient and responsive and a company that is simpler to do business with. These actions will also contribute to making NCR more customer focused and market driven. We’ll provide greater insight into these initiatives on our Q2 call. With that, operator we are ready to take questions.
Operator:  (Operator instructions) Your first question comes from Katie Huberty – Morgan Stanley.
Katie Huberty – Morgan Stanley: First on margins, Tony can you help us break down the benefit from currency versus mix versus restructuring initiatives and particularly what the change was outside of the US versus the decline in margins within the US.
Tony Massetti:  The impact of currency on gross margin was roughly in line with the revenue impact. So we talked about the revenue impact being approximately 6%, so for modeling purposes you can use that. The 100 basis point margin improvement was largely driven by operational improvements and efficiencies as part of the plan that we outlined for investors in our December analyst day. And we’ll give you more color on that on the Q2 call as we launch into the new initiative for 2008.
Katie Huberty – Morgan Stanley: So is it fair to take away from your comments that the decline in the US versus the expansion in margins outside the US is largely due to currency?
Tony Massetti:  The decline in US was more customer mix Katie. The operational efficiency I’d say were across the company and not really in a particular geography.
Bill Nuti:  I think in the US what you’re seeing is a product mix of more retail assisted point of sale in the mix of revenue which is of lower margin, large bank implementations of deposit versus more national bank which is a slightly higher margin for the company and a little bit less in the way of some of the new industries that drive good margins for us because they are generally software businesses. So in the US it was product mix that drove the margins down.
Katie Huberty – Morgan Stanley: On that point Bill, how many points of growth do you expect that non-retail, non-banking sectors can add in 2008?
Bill Nuti:  I don’t think we’re going to see a huge impact in 2008 unfortunately. We’re working towards hopefully driving a greater impact this year, but right now the way I see it given the travel industry, is a large industry for us and what’s going on in that space, and that leaks over to hospitality.  And the general macroeconomic conditions in the US lead me to believe it’s going to be a slightly tougher year than we originally expected. Long term, however, these industries can have a huge impact on our growth and on our profits as long as we execute well.
Operator:  Your next question comes from Matt Summerville – KeyBanc Capital Markets.
Matt Summerville – KeyBanc Capital Markets: Can you talk about what you saw in the quarter in terms of order activity across the three geographic reporting segments? And then also can you characterize what you saw in terms of orders among financial and retail customers. And then can you talk about how your backlog heading into Q2 compared to what it looked like this time last year.
Bill Nuti:  Orders were solid, we had a great order quarter to be candid with you. Orders were about the same, a little bit higher than revenue and so book to bills were solid. Backlog went up a bit in the low single digits and that was a positive for us because we had a solid backlog coming into the quarter last year, so along those two front log metrics, no major issues.  The only thing I would add to that is that if you look at the mix of orders, it’s still consistent with the current revenue mix we have. So we’d like to see a bit more national bank, we’d like to see a bit more US emerging markets or I should say new industries and we’d like to see a better mix of that revenue coming into the quarter. So the backlog margins probably haven’t changed materially at all.
Matt Summerville – KeyBanc Capital Markets: Can you give us a little more color, again across the geographic regions in terms of what you saw with respect to ATM versus retail revenue?
Bill Nuti:  Financial was strong, we had a terrific quarter in the banking space across the world in every region of the world. And retail was close, retail was about the same as we’ve experienced the last few quarters in terms of growth, far outweighing what the market is growing in terms of retail. So we were pleased.  Of course it’s a blessing as well as sometimes not a blessing because that assisted point of sale market is a lower margin business for us and its really driving a tremendous amount of growth for us right now in the retail space that is. So strong traditional industry growth, we’d like to see more in the emerging industries, we’ll continue to work at it.
Matt Summerville – KeyBanc Capital Markets: With respect to the comp you had in Asia Pacific, if you exclude currency, revenue was down a little bit, can you talk about what that comp looked like 1Q08 versus 1Q07 or what you saw that drove the revenue decline of, ATM business was pretty strong there.
Bill Nuti:  I don’t know what the comp was in terms of did we have a good first quarter last year in Asia Pacific. We’ll have the guys look around the table at that first. The one thing I would say and I’ll be frank with you is I’m not as pleased with our performance in Asia Pacific as I am with EMEA and the US. There’s no doubt we have work to do in Asia Pacific and it’s really across the board.  It’s in China, it’s in Japan, it’s in South Asia. That’s probably the weakest geography we have today with the highest GDP growths of any countries on the planet. So we’ve got work to do there, no question about it. And trust me, we’re going to get all over it, Malcolm Collins and myself are well aware of what we need to do in that part of the world. And I’m hopeful as well, there’s a group of people there that run those businesses that I have a lot of confidence in.
Matt Summerville – KeyBanc Capital Markets: With respect to what you’re more broadly seeing among your customer base, are you seeing any major delays, deferrals, cancellations with respect to major product implementations or installs I guess?
Bill Nuti:  No we’re not.
Matt Summerville – KeyBanc Capital Markets: With respect to retail, again I have to go back to the old reporting structure, you have pretty tough comps in the back half of 2008 relative to the back half of 2007, if you compare the year over year growth numbers, do you believe you have an opportunity based on the tempo you’re seeing now in your business to still grow on top of that within retail?
Bill Nuti:  Well that’s why the guidance is what it is in terms of the upgrade of guidance. But up to 5-7% because they are definitely tough comps coming in Q3 Q4 and right now it’s too early to tell. I like what I see in the front log but it’s just too early in the year to start to think about whether or not we have the opportunity to eclipse what was pretty stellar growth in the back half of 2007.
Matt Summerville – KeyBanc Capital Markets: With respect to the tempo of share repurchase we should expect going forward, it looks like right now you’re on pace to buy back about 2.5 million shares plus or minus on a monthly basis. With the stock in the mid-20’s, should we expect that kind of tempo going forward? And then with respect to your revenue guidance, how much FX is in that 5-7% revenue growth guidance?
Tony Massetti:  As far as the share repurchase, it is dependent on share price. So clearly at this stock price we think it makes sense to be in the market. I’ve talked about repurchase since the beginning of the quarter. So for modeling purposes, again depending on share price, your assumption is fine. Then with respect to currency, a very difficult thing to forecast of course, but we assume currency improves slightly over the course of the year from the 6% benefit that we saw in Q1.
Matt Summerville – KeyBanc Capital Markets: So I guess in the 5-7% is there any imbedded FX assumption, that’s what I’m trying to get at.
Tony Massetti:  Yes a one to two point benefit.
Bill Nuti:  I do have an answer to your question on APJ, last year Q1 2007 APJ grew 19% from the prior quarter of Q1 2006. So on that basis it was a difficult compare.
Operator:  Your next question comes from Gil Luria – Wedbush.
Gil Luria – Wedbush: In the US you were talking about the trend and I think we heard this from people who are more growth from the national accounts from the larger banks and less from the smaller banks, is your sense from talking to the smaller banks that they’re just being extra cautious or are they also taking a very substantial hit to their results that’s causing them to reconsider rollouts of ATMs?
Bill Nuti:  I think there’s a couple of factors Gil, one is there’s a consolidation factor. Some of these banks are being look at by larger banks for potential acquisition and I think that slows you down a bit. In some cases the mid sized banks are being more cautious to your point relative to capital spending. I do expect however the national bank segment to start to pick up in the deposit area.  We had on a relative basis a small number of growth year on year, a good first quarter in the national segment on deposit. Now it pales in comparison to what kind of growth we’re seeing in the large bank segment of the market. But we did see a little bit of a pickup and I’m hopeful that later this year and I think the year for national bank deposit growth is going to be more so 2009, we’ll start to see some more activity.
Gil Luria – Wedbush: Your new product line, the new self serve product line, how fast do you expect the adoption of that, what percent of your ATM sales this year do you think is going to come from this new product line?
Bill Nuti:  You’re looking at probably 10-20%, maybe as high as 30% of our sales. It’s a wait to see, we’ll see what the adoption rate really is based on customer acceptance. So far, so good, relative to customer feedback, it’s been outstanding. This is a brand new product build from the ground up for NCR. We haven’t had a brand new product built from the ground up for nearly 15 years.  So this is an outstanding product that we’re bringing to market and the most innovative platform in the market with a variety of features and functionality that our customers have helped us to design. So it’s very customer driven in terms of product design and the attributes of which will help us on the back end because it’s been largely designed for serviceability.  For example, if you look at our previous families of ATMs, we had a very low percentage of parts that were shared across the family of ATMs in the 20% range. Today we’re up at the 70% range of parts that are reusable across the line of new self service products. So some good design for serviceability initiatives have been put in.  I think the year will see more of a transition will be 2009 when the full product range is out in the market, fully certified by the switch providers and frankly the Personas line is still a terrific ATM, highly competitive in the market. It does the job and will continue to be I think a platform of choice for a number of customers.
Gil Luria – Wedbush: Are the margins on self serve going to be higher this year, next. Do you for instance own intellectual property on the deposit automation module?
Bill Nuti:  Margins should be slightly better with self serve this year and I would say more so in the out years as we’re able to achieve better cost reduction or PPVs on the platform going forward. So the new product with the transition, it’s always difficult because you have two new products, you’re carrying two sets of different part infrastructures, you’re carrying two sets of different inventories.  The transition process itself is always a more costly endeavor which is what we’re going through this year. But as you look at the out years when more and more customers transition to this platform, we’re able to get further cost reductions on the platform. Margins should improve from slightly to better.
Gil Luria – Wedbush: And on that front, for this quarter, I know you don’t report this way anymore, but were margins in the ATM business higher than last year?
Tony Massetti:  In line.
Gil Luria – Wedbush: You made a lot of progress on working capital, obviously accounts receivable went down a lot, inventories went up a little bit, is that because of this new product line?
Tony Massetti:  It is. If you look at the $30 or so million increase sequentially, that is consistent with a similar increase in 2007 but driven mostly in finished goods and related to new product announcements. And we do plan to work that down over the course of 2008.
Bill Nuti:  It is still unacceptable from our point of view, trust me.
Operator:  Your next question comes from Rob [Timmy] – Robert W. Baird.
Rob [Timmy] – Robert W. Baird:  Can you talk about your retail customers in the quarter, whether the mix was mostly tier one or maybe some tier two, tier three players and whether any large deals swung the needle for you guys and then maybe how the product lines were spread across those customers, any details there.
Bill Nuti:  On the retail front we started about a year ago building a very strong backlog in point of sale because of the new products we introduced in the middle of last year that we continued to enhance throughout 2007. Mainly the RP 80 XRT platform which has been widely adopted by tier one retailers in the marketplace as their platform of choice.  And that product continues to have terrific success, it continues to be a leading product in the market and right behind that we have several new product introductions coming out this year which will take further advantage of what we think we have is a relative lead on that. The assisted point of sale, the cash register market is doing extraordinarily well for the company since that point in time.  And there’s a higher mix of assisted point of sale devices in our overall revenues. However, that being said, self checkout had a terrific quarter, our best first quarter ever in self checkout and an outstanding quarter for us. So revenue growth was significant, the mix of point of sale assisted was higher, very large customer wins, very large rollouts, some we have previously announced like Macy’s who continues to rollout as well as many, many other large tier one customers.  The opportunity for the company that was buried in your question is in tier two, tier three and tier four retailers through the channel. We just brought on board a new executive leader for our channel globally who is going to help us to further exploit those opportunities that some of our competitors have done a good job of in that particular space.  So while that’s not going to be an immediate impact to our growth and to our profit picture in 2008, we would expect beginning in 2009 to have greater success in those lower tiers.
Rob [Timmy] – Robert W. Baird:  In your analyst day you laid out a plan for customer service margin improvement and I’m wondering if there’s any metrics you can share about how you made progress on that in the quarter, any details.
Tony Massetti:  Not much color there except that we’re very focused on productivity metrics and we look at them with the CS team on a quarterly basis. We expect as part of our overall cost initiative that we outline on analyst day and again we’ll talk more about in Q2, the services portion of our business to be a key focus area in terms of driving greater productivity and utilization of our fixed cost which should translate over time to improved margins.
Operator:  Your final question comes from Matt Summerville – Keybanc Capital Markets.
Matt Summerville – KeyBanc Capital Markets:  Can you talk about what your new product development launch costs were in the first quarter relative to last year, what the year over year increase looked like because it sounds like growth is going to subside a bit? And then can you also update on where you are with respect to bulk check?
Bill Nuti:  I don’t know the exact number of what we did year over year in terms of increased R&D. No question in 2007 which was a very good year for NCR, we had additional expenses associated with R&D and that was purposeful given we had some tailwinds in the business. And that flowed through to Q1, we’ll give you color in a moment on that. Bulk check continues to go well for us, as you well know we designed our bulk check module again with the customer.  And that product has been well received by the market, it’s performing well, it’s got a number of features and capabilities that with which we think provide our company with a competitive advantage and it’s working extraordinarily well in the market. So we’re pleased with the traction of both the customer uptake as well as what we’ve seen in Q1. But the number of implementations are so relatively small and we’ll continue to update you as we see more mass adoption of that module in the future.
Tony Massetti:  R&D was up from $29 to $35 million, so up $6 million year on year in the quarter. I don’t have with me the breakout of how much is new product versus continuing R&D on existing products. But it was up $6 million year on year.
Matt Summerville – KeyBanc Capital Markets:  There’s obviously a heightened level of focus on working capital takeout, if you had to put a higher range on what the high end of your free cash flow generation could look like this year, I know you anticipate it now to exceed $200 million, if you had to put a high end on that range, what kind of number do you think could be possible?
Tony Massetti:  It’s early to say. We’ve got a lot of moving parts in working capital. I think we have solid AR performance in the quarter, particularly February and March. We generated over $50 million more in AR in Q1 of 08 versus 2007. As we mentioned earlier, inventory is still not where we need it to be.  So baked into that $200 million or greater than $200 million in the year, we expect to see sequential improvement in our AR performance as well as inventories. So I think based on what we see today, $200-$225 would be a good range for modeling purposes.
Operator:  You have no further questions.
Bill Nuti:  I want to thank everybody for joining us today, we look forward to talking to you again on the Q2 call, thanks very much.